Operator: Good evening. This is the Chorus Call conference operator. Welcome, and thank you for joining the Banco BPM Group 9 Months 2025 Results Presentation. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Arne Riscassi, IR Manager of Banco BPM. Please go ahead, sir.
Arne Riscassi: Good afternoon, and welcome to Banco BPM 9-month Results Conference Call. We have here Giuseppe Castagna, our CEO; and Edoardo Ginevra, Joint General Manager and CFO, which will take you through the presentation. This will be, as you know, followed by a Q&A session, and I kindly ask you to limit yourself to 2 questions. Now I hand over to Giuseppe.
Giuseppe Castagna: Thank you, Arne. Thank you, everybody, for being with us for this Q3 presentation. Let's start immediately on Page 6 of our presentation. We wanted to show you just a full picture of what we are doing and how we are delivering our vision that we announced with our business plan in February this year. We think we have completed almost the product factory activity that we started 2.5 years ago with the bancassurance, payment system, life insurance and recently asset under management. This brought us already quite a relevant set of results, let's say, almost EUR 400 billion of total customer financial assets, 49% of fee-based generated models or non-NII revenues on total revenues, a strong reduction on NPE ratio, 2.48% gross and 1.4% net and maintaining and building up, again, a strong capital position up to 135%. Profitability is growing as we expected. We have now reached ROTE of 22% vis-a-vis 16% of 2024 and 14% in 2023 with an ROE which stands at 6.5%. In terms of shareholder remuneration, we can confirm that the Board has approved a distribution of EUR 0.46 per action per shares to be paid in -- later in November on 26th of November this month, representing interim dividend for 2025. If you can make a comparison with the previous dividends starting from '22, you can see the growth that we are having, considering like-for-like results, EUR 350 million '22, EUR 850 million '23, EUR 1,100 million, excluding extraordinary distribution for the Numia one-off in 2024 and already EUR 700 million in 2025. Total shareholder remuneration during this year is 565%. We will -- the dividend yield that we will pay will be 7.3% on a yearly basis. Net income stands at EUR 1.660 billion, well on track towards our guidance. Common equity ratio at 13.52% Again, as you can see, excluding one-off, we are 17% higher than last year results, and we have already reached 85% of the total guidance we gave for this year. Then we will come back to that. Net income was very strong, EUR 450 million, considering the seasonality of August and one of the best quarter -- third quarter in our story. This pace we deem is fully consistent with our long-term targets. In terms of the commercial performance, new lending was 39% higher year-on-year. Asset under management net flows was EUR 1.7 billion in 9 months compared to EUR 700 million of 2024 and the cost income stood at 45%, down from 47% 9 months '24. Again, cost of risk reduction to 34 basis points compared with 40 basis points last year. The interim dividend has a yield on 6-month yield of 3.6% and again, has been approved today will be paid on 26th of November. We have already accrued EUR 170 million in the first 9 months of the year to be distributed between the interim and the final distribution. Economics are very solid, both in terms of growth in revenues, 5% stated vis-a-vis last year. If we consider pro forma the contribution of Anima, we increased these results EUR 120 million. We already say that non-NII revenues stood pro forma at 49%, very close to 50% of the target in '27 as well as net fee and commission rose 18%, including the contribution of Anima, but pro forma also the first quarter of Anima, this will grow of another EUR 140 million. Also the contribution from income from associates, insurance NFR increased from EUR 140 million to EUR 290 million in line with our expectation for '27. In terms of cost control, we were able to reduce again the cost-income to 45% with a reduction of 2% like-for-like vis-a-vis '24 and just a slight increase if we consider the Anima inclusion of cost. Significant decline in provision from 30% year-on-year from EUR 350 million to EUR 24 million with a cost of risk going down from 40 to 34 basis points. Capital, if we consider the acquisition of Anima and the regulatory headwinds, we were able to build up 152 basis points in terms of organic generation through managerial action after paying 240 basis points out of the Anima transaction and 60 basis points for regulatory headwinds and including, of course, also 200 basis points that we will pay as dividend, 80% dividend payout. On Page 10, let's have a look to the trajectory towards our target in 2027. As we already said, net income grew in terms of quality of the contribution. You remember that we switched our bank from a pure commercial banking activity to a more equilibrated and more capital-light activity, diversified activity. We had the target to grow from 24% to 35% is a contribution in terms of wealth asset management and protection. We are already at 33% after 9 months from the target decision. The same is for specialty banking contribution that is almost in line with the minimum target of 27% and reduction of commercial banking activity, which went down from 65% to 57% with a target of 50% to 55%. The quality -- these results were driven by non-NII revenues, again, growing from 40% to 49%, cost income ratio reducing from 47% to 45% cost of risk down to 34 basis points. In terms of figure numbers and the different contribution of the main area vis-a-vis the current results and the target -- we have still -- we are fully in line with our expectations. We still have a delay of EUR 30 million per quarter in terms of NII, which will easily reach through the refresh of replicating portfolio in the next couple of years. The decrease in cost of wholesale funding, which is already contributing more than EUR 40 million per year and the growing commercial volumes, which we expect in terms to up to EUR 3 billion by the end of the business plan. Net fees and commission, still we have some growth to expect from the full speed of the different product factory, including, of course, Anima contribution and improvement in the running fees, but also we expect some improvement from insurance business. You may remember that this year, we had 2 IT migration for both life and non-life business, which impacted on our results and also on the payment system activity with Numia. Meanwhile, we are still -- we are experiencing a very strong growth in terms of fees coming from corporate investment banking, Banco agro's trade finance, and we expect this to continue to grow for the coming 2 years. In terms of cost, both operating cost and cost of risk as we anticipated are well on track. Cost of risk is below the target we expected. So we have an advantage that would help the final target that we have in terms of net profit. So very confident to reach our target. Let's have a look to Q3. We wanted to dedicate a slide to the Q3 contribution. We are very satisfied of our EUR 450 million of results. On the right side of the slide, you can see the profit before tax, which stood at EUR 685 million in Q3, which has normally deflated by seasonality, but the difference of EUR 70 million coming from the Q2 results is due essentially only to the Monte Paschi dividend that we included in Q2. Meanwhile, the seasonality has been partially recovered through organic improvement expected in fees and lower cost. So a very solid result for Q3. Let's have a look to the 9 months, net interest income down 8%. But if you consider net interest income at full funding cost, which means including the cost of certificates, which are, of course, a source of funding for our bank, we go down to 5.7%. And core revenues, although experiencing a reduction of EUR 225 million in NII vis-a-vis the 9 months '24 have an increase of 1.6% as total core revenues year-on-year. If you include the net financial result and other operating income, this advantage vis-a-vis last year grew to 5% and operating cost meanwhile registered a 2.2% increase due to the Anima impact if we consider year-on-year without Anima on a like-for-like is a reduction of 2% in general cost. Provision down 30%, leading to a net profit from continuing operation and net income one-off down better with 17% vis-a-vis last year. On the right side, you can see the trend of the last 2 years with the continuous improvement, which are very encouraging for the remaining growth that we have to experience by 2027. As you can see, revenues grew 13%, almost EUR 550 million in 2 years. NII at full funding cost registered this year is at the same level of 2023, notwithstanding a Euribor, which is 106 points below the average of 2023. Cost income down, cost of risk down. Let's pay some attention to net profit from continuing operation, which is EUR 1.5 billion compared to EUR 1.1 billion of '23 is EUR 440 million more also after considering almost EUR 200 million reduction of NII. So that means that we had a profit generated by a strong increase in fees and a very strong reduction in general cost and cost of risk. We already mentioned NII. Let me just say that the reduction we had has been offset for EUR 84 million by managerial action out of EUR 100 million that we expected by 2027. So we are also, in this case, at a good point. Now we have almost the same spread asset liability in the region of EUR basis points. And we are consistently taking advantage from the bonds issue spread, which has been reducing 40 basis points, generating a lower cost in terms of NII for EUR 41 million per year. You have some example of in the different kind of bond issued by the bank of the strong reduction we are experiencing since the previous issuance, that were strongly higher in terms of spread vis-a-vis the current situation. We also gave you some figure about the replicating portfolio, which now stood at almost EUR 28 billion. We have to refresh by the end of the year and next year for a total consideration of something like EUR 9 billion to EUR 10 billion that will improve also the general yield and the contribution to NII. Notwithstanding, we have -- we were able to have an increase in new lending of 39%, exactly 57% in mortgages and 44% to nonfinancial corporates the level of our stock remaining basically the same. As you know, we are not registering an increase in loan demand, although we are confident that by 2026, having kept the level of loan at the same level of beginning of the year, we can register a strong increase that is testified by the good activity we are having in granting new loan. We are taking, of course, a lot of attention to the quality of our portfolio. Stage 2 loans reduced EUR 1.6 billion to below EUR 9 billion. And now our corporate nonfinancial corporate portfolio is 53% secured, 64% if you consider only small businesses. 92% of our stock is concentrated in the best risk classes and the same level is up to 98% if we consider the new lending of the first 9 months of this year. Let's go to Page 16. Total net fees and commission, up 3%, which would be pro forma 5% if you exclude the contribution of ecobonus and instant payments last year. Of course, the stated figure is much higher because it includes the contribution given by Anima, which is up to EUR 1.8 billion. And if we include the full consolidation of Anima starting from January, this figure is almost EUR 2 billion. The investment product fees grew 10%, mostly in upfront fees, but with a good contribution also running fees in line with the growth of investment product placement, which after 9 months stood at EUR 17 billion vis-a-vis EUR 15 billion of last year and EUR 7 billion was realized notwithstanding EUR 2.3 billion of issuing of BTP by our bank. Let's say that also in October, we are continuing this strong production. And also in October, we have increase of another EUR 2 billion the investment product sales. For other fees, we have a reduction, which is driven by the commercial banking activity, the 2 business line I mentioned before, especially ecobonus and instant payment, which went down EUR 35 million year-on-year. Meanwhile, we are growing almost EUR 40 million in terms of fees generated by corporate investment banking, structured finance and trade finance. So very strong results. Let's have a look to the contribution of Anima. On the left, we have the growth in terms of total asset generated by the bank stand-alone. Also in this case, we wanted to give you the progression of the last 2 years, we grew basically EUR 20 billion in less than 2 years from EUR 210 billion to EUR 230 billion with the growth year-to-date of EUR 3.4 billion in terms of assets under custody, EUR 2.4 billion in assets under management, EUR 2.3 billion in terms of deposit. These, of course, are excluding consolidation of Anima. In terms of net inflows, we grew EUR 1.7 billion versus EUR 700 million last year. On the right side, you have the consolidation of Anima. We increased EUR 230 billion to almost EUR 390 billion vis-a-vis EUR 377 billion of end of '24. So a strong increase also in terms of Anima asset contributed to the bank. On Page 18, on the left side, you see the main feature of Anima, which we consider a first-class network, which is still performing consistently well. And we have on the right, the outstanding commercial and financial results, a growth in assets under management of 2.4%, namely EUR 2.5 billion in 9 months of asset under management net flows, excluding the insurance mandates. In terms of revenues and net income in the 9 months compared to 9 months '24, we have an increase of 11% in terms of revenues [ up 50% ] in terms of net income generated by Anima. Cost-income ratio down to 45% as you can see, like-for-like, we have a reduction of 2%. Meanwhile, we have a stated with a small increase of 1%, driven by the Anima inclusion. The staff cost was down, again, like-for-like 1%. Still, we have some further advantages that will be generated in Q4, even though mostly offset compensated by the new labor contract and hirings that we are still having in order to offset the exit of the early retirement scheme. We will have another EUR 40 million of reduction next year generated by the early retirement scheme ended December '25, but part of that, of course, will be offset by the. Also other administrative expenses and D&A are down 4% like-for-like and other admin expenses stand-alone are down 7%. Cost of risk at a very good level of 34 basis points, driven in effective credit management over the life cycle. The gross total NPEs went down from EUR 3.2 billion to EUR 2.5 billion, the net from EUR 1.7 billion to EUR 1.35 billion. The net bad loan ratio is low as 0.4% of total loans as much as we -- if we include also the state guarantee, this figure go down to 0.1%. And the share of the cake between UTP and bad loans is 80% UTP and 20% bad loans. We already mentioned the reduction in Stage 2. Let's see some figure that generated this 34 basis points of cost of risk. First of all, default rate down to 0.8%, rate up from 4% to 6.5% with the net default rate which was as much low as 0.7% from 1% -- the coverage is increasing both in terms of total coverage to 45.7% as total NPEs with vintage in terms of years, which has been reduced from 2.5 to basically 2.1 years. If we include the state guarantee -- if we exclude the state guarantee NPEs, we have an increase in bad loans to 77% in UTP to 43% and in total NPEs, 55.3%. Let me pass the -- give the floor to Edoardo for some figure in terms of net financial results.
Edoardo Ginevra: Thank you, Giuseppe. So very quickly on the financial contribution to capital and the financial part of the balance sheet contribution to capital and to P&L. Capital-wise, we are at a contribution which from reserves at comprehensive income that remains at EUR 330 million, similar to last quarter, a significant improvement versus the value at the beginning of the year, which was negative for EUR 500 million, allowed this improvement by the active management of the bond portfolio. In terms of stocks, situation is that we have EUR 47 billion, similar to what we had -- slightly above EUR 47 billion, similar to what we had 3 months ago and also the split between fair value comprehensive income and amortized cost didn't change, EUR 32 million as opposed to EUR 68 million with a slight increase of the fair value comprehensive income versus the beginning of the year. Share of Italian govies on total govies is below 40%, which is our risk appetite threshold, also very well under control. Contribution to P&L, as I was saying, it's positive for EUR 97 million. Bearing in mind that in this P&L line, we have to offset the negative contribution from certificates, which is as high as EUR 129 million this year, down from EUR 29 million -- EUR 20 million in the 9 months of 2024. So with a positive impact from the reduction in rates, as also shown in the first part of the P&L of this presentation, concerning the overall contribution of NII at full funding cost. Rest of NFR of trading is EUR 226 million positive through the year, benefiting not only from MPS dividends, but in general, from the active management of the bond portfolio. Page 22. Liquidity is at EUR 54.7 billion, so almost EUR 55 billion, increasing again this quarter and from the beginning of the year, which was EUR 48.4 billion. Total direct funding increased, especially for the contribution of retail deposits, which, of course, leads gives interesting perspective in terms of -- interesting outlook in terms of positive potential P&L contribution, NII contribution. We have continued actively our activity in the market for issuance being the first Italian bank and the second in Europe issuing in October a green bond under the EU green bond fact sheet. Issuance activity has been also encouraged by the positive evolution of our rating position with a positive outlook assigned by Standard & Poor's, Moody's and Fitch and an upgrade by DBRS to BBB (high). DBRS also is -- has assigned a first A level rating to the bank recently in October. Very positive, reassuring also the position for the liquidity indicators, LCR at 157%, NSFR stable at 126%, MREL buffer at 7.8 percentage points of the total. So a very significant level of the buffer. 23 for capital -- Page 23 for capital. As mentioned in the first part of this presentation, capital creation in -- from the beginning of the year has been 152 basis points after taking into account more than 200 basis points of dividends. In the last quarter, the progress has been 20 basis points, which is some 12 basis points from the difference between positive performance and accounting for additional dividends, 20 basis points from our source of capital that constantly gives a contribution which is DTAs and reserves fair value other comprehensive income in total, 13 basis points negative from the expansion of the books in terms of RWA increase. On the contribution from DTA and fair value comprehensive income, we confirm that this will be important also for the rest of our plan horizon with 145 basis points as shown in the bottom of this page, materializing in between now and end of 2027. MDA buffer quite comfortable now above 400 basis points in 50 basis points above the minimum threshold of our plan. Let me conclude. Let's recap this very strong first 9 months of the year. I don't have to remember that during the year, our bank was also some pressure, I would say. But notwithstanding that, we were able to almost complete the target for this year, the guidance for this year. Let's say that we are increasing profitability through the non-NII-related business, benefiting from our unique product factories model. We are continuing strong and efficient cost discipline. We have built up an excellent asset quality, which reflects the footprint and the geography of our branches. All in all, we were able in 1 year to increase the ROE adjusted and ROTE adjusted adjustment means without Anima contribution -- one-off Anima contribution for '25, one-off Numia contribution for '24 up to almost 200 basis points in terms of ROE and almost 550 basis points in terms of ROTE. And this notwithstanding the NII impact due to the reduction of Euribor from 3.6% to 2.2%. So we consider this a very strong results and already on top of our target in 27. Having already said of the capital position, the capability to build up further capital over the next quarter, we were able to approve the EUR 700 million distribution for our shareholders to be paid on 26th of November with an increase of 15% year-on-year on the interim dividend distributed in November '24, EUR 0.46 versus EUR 0.40 last year with an annualized expected dividend yield at 7.3%. In terms of cumulative remuneration after 18 months, we are already -- we have already delivered and will distribute EUR 2.2 billion in 18 months, fully in line with the over EUR 6 billion we expect for the full duration of our business plan. Some hint on the guidance. We already say that we prefer to leave the guidance at the level we announced EUR 1.95 billion. Whatever will be the accounting treatment of the fiscal impact that they will have, and we don't know yet which kind of impact, but we are pretty sure that having already reached 85% of the target we wanted to achieve in '25, we will be able to leave this guidance, whatever will happen in terms of fiscal impact this year. That's all. And now we will leave the floor to M&A session -- Q&A session, sorry.
Operator: [Operator Instructions] The first question is from Giovanni Razzoli, Deutsche Bank.
Giovanni Razzoli: I have 2 clarifications. The first one is on Slide 23. You mentioned the 145 basis points of organic capital generation that I interpret as deriving only from the release of DTA and the fair value reserve in the next 2 years. Is that -- is my understanding correct? And is my understanding correct that out of these 145 basis points, around 60 basis points are from the securities on fair value on other comprehensive income. That's my first question. And the second one, again, on capital, I was wondering whether you plan to complete some SRT transaction on risk-weighted asset optimization in Q4 or if there are any regulatory headwinds that you can expect?
Edoardo Ginevra: So thanks, Giovanni. As far as the question on capital -- the 2 questions on capital, let me first confirm that we are finalizing an SRT transaction, which we plan to complete in the next few weeks, so before the end of the year. For the capital creation from DTAs and fair value comprehensive income, so this is EUR 145 million is what is expected to come as additional capital in the quarters in the next -- between the next quarter, '26 and '27 in total. You asked what is the split between DTAs and fair value comprehensive income. DTA is around EUR 120 million. The rest is fair value comprehensive income pull to par effect. Before continuing -- let me add also that we prefer here to stick to the plan horizon. Needless to say, there is additional capital to come also after end of '27.
Operator: The next question is from Manuela Meroni, Intesa Sanpaolo.
Manuela Meroni: The first one is on the guidance of 2025. You confirm your EUR 1.95 billion guidance, but considering what you have already achieved in the 9 months, this embeds a fourth quarter significantly weaker compared with the third quarter. On the other hand, you are guiding for a stabilization of NII and fees up on a quarterly basis. So I'm wondering what -- if there are some reason to be so prudent on the fourth quarter, so what you are expecting there? And the second question is on the dividend. You have already at 13.5% common equity Tier 1 so well above your 13% minimum threshold. You have these tailwinds from DTA and fair value through the OCI. So I'm wondering if you might consider to increase the payout above the current level.
Giuseppe Castagna: Thank you, Manuela. Let me be more precise on that. Of course, we think that we will reach the guidance. As I said before, whatever will be the final accounting principle to regulate the fiscal impact that we are still waiting from the government to deliberate. So let me be a bit prudent, but also, let's say, on the other way, a bit aggressive in saying that even though we should be obliged to put the potential amount into profit and loss, we feel that we can be able to still respect a figure in the region of EUR 1.95 billion, which I think was not expected. And I didn't hear from anybody else such a possibility. On dividends, of course, as you may remember, we were very much questioned about the possibility to be above 13%. In the first 3 quarters, we have generated a lot of capital. We are respecting 80% of payout still increasing to 13.5% our common equity Tier 1, let's say that still we are below our peers. So let's wait for end of the year to understand which will be the capital generated by the bank in the next couple of quarters, and then we can discuss the increase in the remuneration of the payout.
Operator: The next question is from Sofie Peterzens, Goldman Sachs.
Sofie Caroline Peterzens: Here is Sofie from Goldman Sachs. My first question would be on net interest income. In terms of the trough, we saw weak volumes, but new production is very encouraging and also lending margins are stabilizing. So do you think we have reached the net interest income trough? Or do you think that's still ahead of us? And then my second question would be on M&A. If you could just talk about your kind of thoughts around M&A. The press has been talking about CRA, Italy. Any comments you can make here?
Edoardo Ginevra: So let me talk about NII and then Giuseppe on the M&A session, which you wanted to start earlier. On NII, considered that in our plan, we have a guidance of -- we have a target of slightly above EUR 3 billion for 2026, which we believe that at this point is confirmed with a scenario of Euribor at 2%. We announced already that we would be able to absorb more shocks on the scenario. But basically, we don't see reasons why we should change this target and this assumption on given the evolution -- the market evolution that we are facing at this point. Then we expect, as described in Slide 10 that this is the basis to achieve higher level of NII and to hit our target in 2027 with a mixture of actions that will provide contribution from the financial part of the portfolio, and this is replicating portfolio and decreasing cost of wholesale funding. To give you an idea, we have EUR 25 billion EUR 27 billion replicating portfolio target is EUR which is where we expect to stay on average next year. This EUR 25 billion are paying currently a level that is some 20 basis points above Euribor for a pure mechanical effect of time lag on the repricing and the readjustment. If Euribor stabilizes, this mechanical effect will disappear and 20 basis points on EUR 25 billion is around EUR 50 million. Similarly, benefited from issuance of wholesale funding. We have EUR 5 billion of new issuance per year. And so in the next -- in a total of EUR 10 billion, which is the average over 2 years, including issuance of second part of this year and issuance and half of issuance of 2027, a benefit of 50 basis points leads to an improvement down the line of around EUR 50 million. Commercial volumes, just look at the spreads, which are quite similar on the asset and on the liability side means that every EUR 1 billion either of growth in loans or growth in deposits will provide us with an improvement of some EUR 15 million, 1.5% in terms of P&L. Deposits are growing at a very -- an excellent pace, have been growing at an excellent pace throughout the last few years. Loans is the next challenge, but we believe we are very well equipped to restart in growing the loan book once investor -- once our clients will restart -- will revamp this investment process, maybe on...
Giuseppe Castagna: Thank you, Sofie. Let me just give some color to your question. I think we have shown this year to be able to respect our guidance also considering unexpected headwind as we are having. On top of that, we managed this year to cope with the Anima acquisition on one side and let's say, to be obliged to stay unde [indiscernible] for 9 months with our network. We had to cope with 2 IT migration in the 2 bancassurance deal and the integration of the product factory we have built up in the last year. So a lot of work to do, reaching always strong results. The same we have for 2026. Of course, we are not scared of taking one eye on reaching our target for '26 and also considering any opportunity coming from the market in terms of M&A. We are not -- in this moment, of course, we have nothing in mind. We are not dealing with any traction. But we know very well that there are some stakeholdings either in our bank or our stakeholding in other banks that could generate during 2026, some potential M&A. So I think we have to consider our stand-alone plan and the capability in any situation, in any market situation to respect our plan on one side, and the possibility to deal with opportunities that we show that we were able to do together with reaching our results. So attentive to have anything happen on the market. We have not many left in the market, but still with a lot of opportunities.
Operator: The next question is from Luis Pratas, Autonomous.
Luis Pratas: My first one is on NII. We saw a much lower quarterly reduction this quarter in the customer spreads compared to, let's say, Q1 and Q2. So do you think we are close to the bottom in the customer spread? And how do you see the spread going forward, split by the asset and liability spread? And then my second question is on the Anima minorities. I wanted to hear your latest thoughts on how you plan to deal with the minorities. Do you have the goal to own 100% of Anima and delist?
Giuseppe Castagna: Thank you, Luis, for the 2 questions. Let's say, yes, we think we have reached the bottom, both in terms of asset spread. Of course, the same, I think, is also in terms of liabilities. We don't think we can -- with Euribor, which is now quite stable. Again, I want to stress especially the work we have done on the asset spread because on the liability, I think we dealt very well with the spread. On asset, as I mentioned before, we managed to maintain the same level of stock with a strong increase, almost 40% of increase in new loans generation, which, of course, are a good boost for our commission. In a situation in which loan growth was 0% or minus 0% because we don't have -- we are not having loan growth in our country. So thanks to our geographic footprint, we were able to stand at a very good level of new loans, maintaining the situation, but of course -- and sorry, bettering the quality of this credit book with a lot of guarantee taken also with the opportunity of the guarantee state scheme. This, of course, in a situation in which loans are not growing, and we are willing to better our quality, of course, you can lose some few basis points, which is what happened to our portfolio. We feel, as I also understood that my colleagues think that in 2026, there will be a recovery in terms of investment. If this happen, as historically happened, our bank is -- will be in the best situation to take advantage from that. And with a growing, even though not booming, but growing market in terms of loans, I think also the asset spread will increase. Second question about minorities. We are -- I always say that we're going to buy Anima in order to make Anima greater. We want to have our distributor of Anima. We think there is an opportunity to have some other banks joining the group of distributors. And we want to leave room for also giving a stake in Anima to this new distributor. So until this situation will be open, and we will have the opportunity to manage some contact with other banks, I think we will leave for the time being, the stock listed, but I hope that quite soon, we will understand what will be the opportunity for the next quarter. So give us some time to experience the opportunity of having somebody else on board, and then we will decide what to do with the stake.
Operator: The next question is from Hugo Cruz, KBW.
Hugo Moniz Marques Da Cruz: My main question is around dividend, the final dividend for 2025. If I understand your dividend policy is you net out the gain on the revaluation of Anima. You already raised the interim larger than last year. So even if you beat the guidance on earnings, it sounds like the final dividend will be lower year-on-year. Is that something you're comfortable with or not? And then a second question, why are you not seeing loan growth? You're in the most dynamic part of Italy. Some of your peers, at least in the past quarter have shown loan growth. So is that too much pricing competition and you don't want to compete there? Or because a system level, there is -- that you're starting to have loan growth for the whole of Italy. So why shouldn't you be doing better than the system when you are in the better part of the country?
Giuseppe Castagna: Thank you, Hugo. For the first part, yes, of course, the one-off of Anima will not be considered. We announced that with our business plan. But of course, if we will beat the guidance, the dividend will increase and our effort will be to give a dividend, which would be as much as possible in line with last year, in which we include the Numia one-off contribution. So let's say that like-for-like will be much better this year. We will decide, depending also on this fiscal impact, how to increase further this contribution. Let's say that when we announced the EUR 6-plus billion in 4 years, we already say that, of course, there would have been an increasing dividend distribution in the last part of the 4 years, increasing, of course, also the profitability. We are perfectly in line and hopefully, depending on the unexpected situation, we can try to also increase the contribution. On the loans, we think we are doing better because we are basically maintaining our loans at the level they are. Meanwhile, I think there is some reduction in loan for other banks, notwithstanding is the best part. Unfortunately, investments are still lacking. So the geopolitical situation, the uncertainty on tariffs have been very persistent during the year, and we still now in the beginning of November are not having a signal -- strong signal of recovery. But being the third year in a row, we really are confident that some recovery there could be. And in this occasion, I'm sure we will be better than others in recovering and increasing our loans.
Operator: The next question is from Ignacio Ulargui, BNP Paribas Exane.
Ignacio Ulargui: I have 2 questions. One is on fees. I mean, do you think that whatever is not fees from specialized activities within the other fees bucket have probably bottomed at this level, and we should -- we could see some recovery into the fourth quarter, thanks to seasonality? And the second question is linked to Monte dei Paschi stake. So if you could just share with us a bit of your thoughts on the stake going forward?
Edoardo Ginevra: Okay. Just a minute and get into the page -- yes. So you were mentioning about the product factories because we have 3 categories, commercial banking and other product factories, which means consumer credit payment system and P&C insurance. And the last one is from Corporate Investment Banking and Trade Finance, which one you are precisely?
Ignacio Ulargui: I was just referring to the commercial banking and other fees and product factories, which -- I mean, if I just look into the year, they have been relatively flattish, whether that could be -- you see that could recover into the year-end?
Edoardo Ginevra: Yes. We think that there will be basically everything which is not included in product factories and in corporate investment banking and trade finance activity is on the other, which mean current account, commission on loans, other commission on payment activity, money transfer and so on is included in that. Last year, we had also a strong contribution from the discount on fiscal credit. You know that in Italy, we had such a possibility to discount the fiscal credits, the famous super bonus or ecobonus. And together with the commission that we were able to get from the instant payment, which now are not anymore possible to apply, there is a reduction of almost EUR 40 million, EUR 35 million to EUR 40 million. The other are doing well, especially, of course, on loans because as you -- as I said before, we were increasing 40% the new loans activity. So all in all, we think that like-for-like, we are increasing the commission also on the commercial banking, and this will stand also for the next quarter. For the other, as I mentioned before, the one from specialized activities are doing very well. Meanwhile, we have registered some reduction in the bank insurance because of the migration I was mentioning before, both in the Life activity and the non-life activity, which will not have any more, of course, going forward in the next quarter. This is for the first question. The second question go back to the problem of we were talking about delisting Anima until we don't understand exactly what will be Monte Paschi, as you know, is a strong contributor in terms of distribution of Anima. We had in the past some talks about the possibility for them to continue this activity, also getting possibly some interest in being shareholders. So we will see after that what the final word about our stake in Monte Paschi.
Operator: The next question is from Delphine Lee, JPMorgan.
Delphine Lee: My first one is on the Italian bank taxes. I know it's still being discussed, but just wanted to kind of have your thoughts, your initial thoughts on how much that impact could be? And then my second question is on M&A. So CredAg has already commented that they wouldn't -- they're not considering selling their subsidiary in Italy. So just kind of wondering what other forms this M&A potential could take. Like, I mean, would you consider more partnerships with CredAg in Asset Management or in other areas? -- which I think is something that they would be keen on. If you could just share your thoughts here, that would be great.
Edoardo Ginevra: Yes. So thanks for the question. On bank taxes, there are various, of course, items that are of interest by the law or the project of law, which has not been, as you know, approved yet. In the current scenario, we expect to have a one-off this year of payments of levy that is in the order of magnitude of around EUR 100 million, and this is a one-off. For the next years, the scenario is not clear, but we expect this to be affordable in the margins of flexibility and buffers that we will have in our plan once the real amounts and the technicalities of taxes will be clarified, then of course, we will have to take care of planning the impacts and potentially adopting measures to counterbalance these impacts. But we don't believe them to be a real changer versus our targets.
Giuseppe Castagna: Okay. Let's go back to M&A. You were mentioning CASA doesn't want to sell, but we never talk about buying the network of CASA. We're never talking about having anything else with CASA other than being, I hope, an happy shareholder of our banks. We are not aware of anything happening in terms of a possible merger. And so we will see what happen. They also requested to increase their stake to ECB. They have not yet received the authorization. Once they will receive the authorization, they will decide the stake to take. Of course, we will understand better what could be the possibility to have some more collaboration with them. Up to now, there is nothing at all. I read the speculation about buying the activity in Italy, but there is nothing in course.
Operator: The next question is from Adele Palama, UBS.
Adele Palama: Two questions. One is a clarification on the capital impact. So 145 basis points does include also like the impact that you were expecting in the business plan from the securitization. So if I remember correctly, you were guiding for like 48 basis points from synthetic securitization. How much of that 48 basis points has been already taken? How much is left? And if it is included in that 145 basis points. And then if you can give us a guidance on the other provision and provision for risk and charges. Because this quarter, you reported like positive number there. I'm just trying to understand a little bit the gap versus the target, which seems a little bit conservative for full year '25. And then on cost of risk, so which is the guidance for this year? Because again, I mean, you have reported like around 35 basis points. But then if I try to bridge with your target, it looks like that you are expecting some additional extra provision in the fourth quarter. Is that right? Which is the guidance there?
Edoardo Ginevra: So on capital, thanks for giving the opportunity to clarify. 145 basis points that we showed -- that we mentioned in Page 23 of today's presentation is only the impact during the plan horizon from DTAs and fair value comprehensive income. Securitization transactions are on top and will continue to provide the contribution that we have announced in the plan. By the way, we are overdelivering on that, taking into account the fact that in the plan, we said 48 basis points, including the effect of amortization of existing ones. But in general, in this quarter, we didn't have securitization since SRT transactions, we -- as I said earlier answering to the previous question, we will have impact in the fourth quarter. And in general, we will continue to generate capital through this lever also in the next few years. Normally, the high-level guidance, I would say, is that we do 2 to 3 transactions per year, and we have an impact of each transaction of around 10 to 15 basis points on average, but part of this impact is eroded by the amortization of existing ones.
Giuseppe Castagna: For cost of risk guidance, we always said that this year, we would have been below 40 basis points. We can confirm we don't expect extra loan loss provision in Q4. As I mentioned before, we have a 0.1 net bad loans ratio. We have a very good default rate. We are almost at half of November, so halfway to the year-end. So I expect apart from some managerial action that we could take by the year-end, I expect something in line with the previous cost of risk.
Operator: The next question is from Matteo Panchetti, Mediobanca.
Matteo Panchetti: I have one clarification on RWAs and capital for the quarter. Can you please clarify because when I see on your booking loans, they are down 2% Q-on-Q, but your RWA were up quarter-on-quarter. So can you please clarify if there was any headwinds during this quarter or if the density has been increasing? And the second one is on the overlays. You still have EUR 150 million overlays, which point you will consider to release or eventually using that?
Edoardo Ginevra: No. We have grouped the 13 basis points in Page 23. RWA and other, actually, this includes a number of of second effects that give a contribution, the specific part of RWA is only 6 basis points, and it's related in general to normal refresh of the portfolio, but nothing that creates any real drift towards a higher level of density or headwinds in this quarter. The rest is due to a number of minor impacts, for example, increase in the value of our participations that we deduct from capital and that if they mature, if we use equity method for our valuation, if they mature net profit over the quarter, then this net profit is accounted for in the value of the participation and this value is an increase in the capital deduction. So not material effect on credit in general. Yes, overlays, overlays, well, usual debate. Overlays, technically speaking, are not something like a treasure we have and at some point will be left for release. Overlays are a way to account for unexpected risk that are not modeled and that you capture in your framework of risk management framework and IFRS 9 accounting framework through adjustments on top of what the risk model suggests to have in terms of generic provisions on performing loans. The only thing that counts is the level of coverage on performing Stage 1 and Stage 2. And this coverage is driven by considerations on the status of the portfolio. We are sticking to a coverage, which is in the area of above 40 basis points. We have increased from 45 to 46 basis points in this quarter. We believe that this is our sweet spot in general in the long run. And so we believe that any comparison should take into account between banks on this KPI should take into account, of course, geographic footprint, average rating of portfolios and so on and so forth.
Operator: Gentlemen, there are no more questions registered at this time. I turn the conference back to you for any closing remarks.
Giuseppe Castagna: So if there are no other questions, thank you very much for being with us for Q3, and we will see in the next days or talk to you for further details. Thank you and have a good evening.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over, and you may disconnect your telephones.